Operator: Good afternoon and welcome to WEC Energy Group's Conference Call for Second Quarter 2019 Results. This call is being recorded for rebroadcast, and all participants are in a listen-only mode, at this time. Before the conference call begins, I remind you that all statements in the presentation, other than historical facts are forward-looking statements that involve risks and uncertainties that are subject to change at any time. Such statements are based on management's expectations at the time they are made. In addition to the assumptions and other factors referred to in connection with the statements, factors described in WEC Energy Group's latest Form 10-K and subsequent reports filed with the Securities and Exchange Commission could cause actual results to differ materially from those contemplated. During the discussions, referenced earnings per share will be based on diluted earnings per share unless otherwise noted. After the presentation, the conference will be open to analysts for questions and answers. In conjunction with this call, a package of detailed financial information is posted at wecenergygroup.com. A replay will be available approximately two hours after the conclusion of this call. And now it is my pleasure to introduce Gale Klappa, Executive Chairman of WEC Energy Group.
Gale Klappa: Good afternoon, everyone. Thank you for joining us today, as we review our second quarter 2019 results. First as always, I'd like to introduce the members of our management team who are here with me today. We have Kevin Fletcher, President and CEO; Scott Lauber, our Chief Financial Officer; Bill Guc, Controller; Peggy Kelsey, Executive Vice President and General Counsel; and Beth Straka, Senior Vice President of Corporate Communications and Investor Relations. Now before we dive into our quarter, I'd like to take just a moment to acknowledge the tremendous effort of our field personnel and support staff in the wake of the most severe storms that hit Central and Northern Wisconsin in at least 20 years. On July 19 and 20, eight confirmed tornadoes wrecked havoc across the area, and literally tore apart portions of our system. Both Kevin and I want to thank Governor Evers and his staff, the National Guard and the local emergency management teams for their outstanding support and cooperation. This was a textbook example of the public and private sectors pulling together for the common good. And now, onto the quarter. Scott will discuss our financial results in detail in just a few minutes. As you saw from our news release this morning, we reported second quarter 2019 earnings of $0.74 a share. During the quarter, we continue to see the benefit of operating efficiencies across our system and the infrastructure investments we've made outside our traditional footprint also had a positive impact. These factors helped us to overcome an unusually cool start to summer in the Midwest. Turning now to our power generation portfolio in Wisconsin. As we look ahead, we've identified the need for additional capacity at We Energies, capacity that can deliver carbon-free energy. So, just last week we filed with the Wisconsin Public Service Commission for approval to invest in the Badger Hollow II solar park, which will be located in the Southwestern part of the state. As you may recall, we've already received approval for Wisconsin Public Service to invest in Badger Hollow I. We expect this next phase of development of Badger Hollow to expand our solar capacity by approximately 100 megawatts. This investment will support our effort to reduce CO2 emissions and maintain reliable affordable service for our customers. In the meantime, we continue to see a very healthy economy here in Wisconsin. The unemployment rate for June came in at 2.9%. In fact, Wisconsin's unemployment rate has stood at 3% or lower since July of last year. This marks the longest period on record in the state with unemployment at or below 3%. And based on data just released literally last week, more people are working in the Milwaukee region that at any time in history. Also, we see continued momentum with a wide range of economic development projects. In May for example, site and operational plans were approved for Haribo’s first North American plant. Haribo is moving forward here in Wisconsin and what will be one of America's largest confectionery plants. Groundbreaking is scheduled for Phase I of construction by spring 2020. At full build-out, the Haribo manufacturing campus can employ as many as 1,250 workers. So folks the gummy bears are coming Well, last quarter, I also mentioned that international healthcare firm Fresenius Kabi announced plans for a production facility in the region. Now Fresenius will be joined by another pharmaceutical company Nexus Pharmaceuticals. A few weeks ago, Nexus unveiled plans to develop a therapeutic drug manufacturing facility in multiple phases over the next 10 years. Nexus expects to invest $250 million in the project. First phase of commercial production is slated to begin in 2022. The decision by Nexus to invest here highlights our ongoing success in attracting companies that require skilled knowledge and production workers. And I know all of you are interested in an update on Foxconn. In June, Foxconn began pouring the footings and the concrete foundations for its Gen 6 LCD fabrication plant. Initial production is expected to begin late next year. Foxconn has also announced plans to diversify its Wisconsin output, potentially including servers, networking products and automotive controls, in addition to display panels for a range of industries, and a high capacity data center is being designed to support Foxconn's research activities as its campus expands in Wisconsin. This kind of growth in manufacturing in our region is spawning a very significant ripple effect, nearly $1 billion of additional private investment has already been announced in the vicinity of the Foxconn campus. And now, I'll turn it over to Kevin for some key details on our operations and an update on our regulatory calendar. Kevin, all yours.
Kevin Fletcher: Thank you, Gale. I'd like to start by reviewing where we stand in Wisconsin. As Gale mentioned, on July 19, more than 290,000 customers in our Wisconsin service area were impacted as winds in excess of 80 miles per hour caused extensive damage to our network. Despite very difficult conditions, we were able to restore service to nearly all customers within a week. We also appreciate the patience and support of our customers in the wake of this historic weather event. Now I'll fill in a few details on the solar investment Gale mentioned. Just last week, on August 1, We Energies partnered with Madison Gas and Electric in filing for approval to purchase an additional 150 megawatts of solar capacity at Badger Hollow. We Energies would own 100 megawatts of the solar park with an estimated investment of $130 million. Subject to approval by the Wisconsin Commission, we expect the second phase of development at Badger Hollow to be completed by the end of 2021. Now an update on the rate review process. You may recall, on March 28, we filed a proposal with the Public Service Commission of Wisconsin to set customer rates for our Wisconsin utilities. The request follows a four-year freeze of base rates, a freeze that has resulted in lower customer bills, while maintaining world-class reliability. After applying savings from tax reform, we have filed for an increase in a typical We Energies monthly electric bill of approximately 2.9% in 2020, and an additional 2.9% in 2021. There are three primary cost drivers for our proposed We Energies electric increases. Number one, higher transmission charges. Remember the amounts collected in rates have been capped since 2010. Number 2, revenue the Commission assumed We Energies would receive from the Midwest grid operator that was not received. And number 3, increased cost associated with the agreement to purchase energy from the Point Beach nuclear plant. This agreement was approved by the Commission in 2007, when we sold Point Beach and credited customers a total of $670 million. Of course, there will also be discussion during the case about the recovery of the remaining investment balance at the Pleasant Prairie Power Plant, which we retired last year. Moving to Wisconsin Public Service, our rate proposal includes our investment in the Forward Wind Energy Center and the two Wisconsin solar facilities. It also includes ongoing modernization of our electric system to improve reliability in Northeastern Wisconsin. With the tax savings and other credits applied, the typical Wisconsin Public Service Electric bill would increase by approximately 4.9% in 2020, and an additional 4.9% in 2021. Even with these increases, typical bills by Wisconsin Public Service customers would remain well below the current state and national averages. To support our strong balance sheet, we are seeking a slightly higher equity component in these rate reviews consistent with recent decisions made by Wisconsin Commission. We received a procedural schedule on the Commission on June 10. The first key date in the process is August 23, when Commission staff and intervenors will file their direct testimony. We expect a Commission decision in the fourth quarter for new rates effective January 1, 2020. Turning now to Illinois, the Peoples Gas System Modernization Program is progressing well. We just retired Chicago's oldest natural gas main, a cast iron pipe that was placed into service in 1859, before the Civil War. This long-term effort to provide Chicago with a safe modern natural gas delivery network is approximately 26% complete. On a final note, others are recognizing our focus on safety and reliability at Peoples Gas. Escalent, an analytics firm recently surveyed more than 50,000 residential customers across the country about their energy companies. Through this survey, Peoples Gas was ranked among the top 10 most trusted natural gas utility brands in the nation, and number one in the Midwest. With that, I'll turn it back to Gale.
Gale Klappa: Thank you very much, Kevin. With our strong performance through the first half of this year, we are raising our 2019 full-year guidance to a range of $3.50 a share to $3.53 a share, the expectation of reaching the top-end of the range. This translates folks into a growth rate between 6.7% and 7.6% of the midpoint of our original 2018 guidance. And for the longer-term, we continue to project that our earnings per share will grow at a rate of 5% to 7% a year. And finally, a reminder about our dividend. In the January meeting, our Board of Directors raised the quarterly cash dividend to $0.59 a share, increase of 6.8% over the previous rate. We continue to target a payout ratio of 65% to 70% of earnings. We're right in the middle of that range now. So I expect our dividend growth will continue to be in line with the growth in our earnings per share. Now with details on our second quarter results and our outlook for the remainder of the year, here is our CFO, Scott Lauber. Scott?
Scott Lauber: Thank you, Gale. Our 2019 second quarter earnings grew $0.74 per share compared to $0.73 per share in the second quarter of 2018. Our favorable results were largely driven by additional capital investment and our continued emphasis on cost control. Weather accounted for a $0.07 decrease in the quarter compared to last year. Compared to normal, weather is a $0.03 drag in the quarter. In fact, June was the 10th coolest in the past 70 years. The good news is the weather headwind was fully offset by fuel recovery, which was positive by approximately $0.02 per share and by additional O&M savings. The earnings packet placed on our website this morning includes a comparison of second quarter and year-to-date results. My main focus will be on the quarter, beginning with operating income by segment and then other income, interest expense and income taxes. Referring to Page 9 of the earnings packet, our consolidated operating income for the second quarter of 2019 was $314.6 million compared to operating income of $330.8 million in the second quarter of 2018, a decrease of $16.2 million. Adjusting for the impact of tax repairs and our adoption of the new lease accounting rules, operating income decreased by $6 million. Remember that in January, we adapted the new lease accounting standard, which had no impact on our net income but does affect our segment reporting. For your reference, we have a breakout of these items for both the second and the first six months of 2019 on Page 9 and 10 of the earnings packet. Neither of these items impacted our net income. Recall that as part of our previous rate settlement Wisconsin, we agreed to apply the benefits of tax repairs to offset the growth of certain regulatory asset balances. The plan continues and our expectation remains that the transmission escrow balance that We Energies will be reduced to zero by the end of this year. My segment update will focus on the remaining $6 million decrease in operating income, which excludes the impact of tax repairs and the new lease accounting rules. Starting with the Wisconsin segment, the decrease in operating income, net of these adjustments, was $1.7 million. Lower sales volume, primarily related to weather, drove a $34.8 million decrease in operating income, depreciation expense also increased by $8.4 million. This was substantially offset by $38.1 million reduction in operating and maintenance expense, largely driven by our plant retirements. Additionally, we saw a positive impact from fuel. In Illinois, operating income increased by $900,000. Margins rose as a result of our continued investments. Partially offsetting this increase was higher depreciation and operating and maintenance expense. The higher expense was due to repair work related to a much colder than normal first quarter and higher benefit costs. Operating income in our Other State segment decreased $3.5 million. We saw a $2.5 million decrease in margin related to the timing of interim rates at our Minnesota utility in 2018. Turning now to our Energy Infrastructure segment, operating income at this segment was down $1.1 million. As expected, Bishop Hill and Upstream Wind investments did not have a material impact on operating income. However, a significant portion of earnings from these facilities come in the form of production tax credits and are recognized as an offset to income tax expense. These production tax credits added approximately $0.02 per share to our earnings for the quarter. The operating loss at our Corporate and Other segment increased by $600,000. Combining these changes and excluding the impact of tax repairs and the new lease rules, operating income decreased $6 million. Earnings from our investment in American Transmission Company totaled $36.9 million, an increase of $8.2 million as compared to the second quarter of 2018. Approximately, $5.2 million of the increase was driven by continued capital investment. The remainder was driven by 2018 charge related to the final resolution of a FERC audit. Other income net decreased by $7.8 million largely related to a prior year item, which was fully offset in operation and maintenance expense. There is no impact to quarterly net income. Additionally, a portion of the decrease was driven by lower investment gains associated with our benefit plans. Note that these investment gains partially offset the benefit expense, including in our operating segments. Excluding the impact of the new lease guidance, our net interest expense increased by $14.7 million, primarily driven by our continued capital investment and slightly higher interest costs. Our consolidated income tax expense, net of tax repairs decreased by $24.8 million. The major factors were lower income before income taxes, production tax credits related to our infrastructure investments, and a 2018 tax reform item. We expect our effective income tax rate to be between 10.5% and 11.5% this year. Excluding the benefits of tax repairs, we expect our 2019 effective tax rate to be between 20% and 21%. At this time, we expect to be a partial taxpayer in 2020. Looking now at the cash flow statement on Page 6 of the earnings packet. Net cash provided by operating activities decreased $222 million. The decrease was driven by tax reform refunds to customers and a higher working capital. Total capital expenditures and asset acquisitions grew $1.1 billion for the first half of 2019, a $130.8 million increase from the same period in 2018. This reflects our investment focus in our regulated utility and energy infrastructure business. Our adjusted debt-to-capital ratio was 53.2% at the end of the second quarter, a decrease from the 53.4% at the end of 2018. Our calculation continues to treat half of the WEC Energy Group 2007 subordinate notes as common equity. We are using cash to satisfy any shares required for 401(k) plans, options and other programs. Going forward, we do not expect to issue any additional shares. We paid $372.3 million in common dividends during the first six months of 2019, an increase of $23.6 million over the same period in 2018, which reflects the increase in the dividend level that was effective in the first quarter of this year. Turning now to sales, we continue to see customer growth across our system. At the end of the second quarter of 2019, our utilities were serving approximately 11,000 more electric and 23,000 more natural gas customers compared to a year-ago. Retail electric and natural gas sales volume were shown on Page 13 and 14 of the earnings packet. Overall retail deliveries of electricity, excluding the iron ore mine were down 2.7% compared to the first half of 2018 and on a weather normal basis, deliveries were down 1%. Excluding gas used for power generation, natural gas deliveries in Wisconsin increased 3.8% versus the first half of 2018. Natural gas deliveries in Wisconsin grew by 2% on a weather normal basis. Again, this excludes gas used for power generation. Keep in mind that the weather in the second quarter of 2019 was dramatically different than the second quarter of 2018. As a result, We Energies experienced a 65% decrease in cooling degree days. I think it's important to point out that the dramatic swing really limits our effectiveness of our normalization calculations. Finally, a quick reminder on earnings guidance. As Gale mentioned, we are raising our full-year earnings guidance range to $3.50 to $3.53 per share with an expectation of reaching the top end of the range. This assumes normal weather for the remainder of the year. Now looking at the guidance for the third quarter. In the third quarter last year, we earned $0.74 per share, which included a $0.05 pickup from warmer than normal weather. We expect our third quarter 2019 earnings to be in the range of $0.69 to $0.71 per share. This takes into account the July weather in the expense from the recent storms. As usual, we are assuming normal weather for the remainder of the quarter. With that, I'll turn things back to Gale.
Gale Klappa: Scott, thank you very much. Overall, we're on track and focused on delivering value for our customers and our stockholders. And for those of you who would like to learn more about our environmental and social performance, I'll direct you to our latest corporate responsibility report available on our website, which we published just last month. Operator, we're ready now to open it up for the question-and-answer portion of the call.
Operator: Thank you. Now, we will take your questions. [Operator Instructions] Your first question comes from Greg Gordon with Evercore ISI. Your line is open.
Gregory Gordon: Good morning, Gale.
Gale Klappa: Greg, how are you?
Gregory Gordon: Hi, can't complain. So Gale, great quarter, considering the uncontrollable things that you had to manage, namely that the huge swing in the weather. And I think I understand exactly where the offsets were, but it's not 100% clear because of the – all the flow through impacts of the change in accounting for tax repairs. What were the two or three key items in the quarter that allowed you to effectively offset the headwind from weather this year and put you in a position to raise the guidance range, if you could just simplify for us?
Gale Klappa: Sure. I'll be happy to take a shot at it. Will ask Scott or Kevin to add their view as well. To me, there were two big factors. I mean, there are many small factors, but two big ones. One, I mentioned continuing operating efficiency across our system. The second quarter of this year was really the first quarter, where we're seeing the full benefit of the retirement of our older, less efficient coal-fired power plants. Remember, over the course of the last year or so, we've retired three older coal-fired power plants, our Pleasant Prairie plant near the state line of – near Illinois, our Pulliam Plant near Green Bay, and the Presque Isle Power Plant in the Upper Peninsula of Michigan. The closure of those three plants is delivering as we expected significant O&M cost reductions. So I think that was a big factor. The second is, again we expected it. But we're seeing the benefit of our infrastructure investments that we've made and that was a $0.02 a share pickup compared to last year, as we roll in more of these infrastructure investments. So those I think were two very big factors. Scott?
Scott Lauber: Yes. And I think the third item, as sales were down a little bit. We saw the benefit in fuel by a $0.02 that came in a little bit better that offset. Remember the quarter was about $0.03 down compared to normal between the fuel and the O&M and infrastructure that all contributed to us getting above our original guidance.
Gale Klappa: Greg, does that help?
Gregory Gordon: Yes, it does. My second question is just you guys are really good in putting out some of your monthly slide deck updates on where the business stands. You don't do them specifically for the earnings calls, but I'm looking at slide 10 of the July investor presentation where you talk about the Badger Hollow Solar Farm and the Two Creeks Solar Project. So specifically what on the margin has improved there in terms of visibility on megawatts and dollars? And is that all accretive to the overall CapEx plan that you laid out in the presentation?
Gale Klappa: Well, Greg, first of all, should point out those are regulated investments. So that's different from the infrastructure segment that we talk about. So these basically the Badger Hollow investments, the Badger Hollow I just in the quarter, we got approval from the Wisconsin Public Service Commission to proceed with Badger Hollow I. That is capacity for Wisconsin Public Service in the Northern part of the state. And then as I mentioned on the call, we just filed a week ago for approval to invest in Badger Hollow II, which would be capacity for We Energies. In essence, the WPS, Wisconsin Public Service investment would be about $260 million because that also includes the Two Creeks Solar Farm in the northeastern part of the state. So about $260 million of solar investment for Wisconsin Public Service. Kevin, about $130 million of investment for We Energies.
Kevin Fletcher: That's correct, Gale. As you said, the Badger Hollow and the Two Creeks were both for Wisconsin Public Service.
Gale Klappa: And Greg, all of that was in our five-year plan.
Gregory Gordon: Excellent. Thank you, Gale.
Gale Klappa: You're welcome. Thank you.
Operator: Your next question comes from Shahriar Pourreza with Guggenheim Partners. Your line is open.
Shahriar Pourreza: Hey, guys. How are you doing?
Gale Klappa: Good. I'm just thrilled to both you and Greg are working on the same day. I mean this is a red letter day for us.
Shahriar Pourreza: We know that. That's the pinnacle of my career, I appreciate it. Gale, let me just touch a little bit on sort of the Energy Infrastructure segment. I know, can you comment on whether you're still seeing sort of robust interest around the wind investments? I know the last time you and I spoke, you were evaluating maybe a dozen or so sites. Maybe just a quick status there. And then Scott, with your cash tax status that you kind of highlighted around 2020. How does sort of some of these incremental investments around the infrastructure segment, could you see it pushing off of those cash tax…?
Gale Klappa: Okay. I'll tackle the first half. Will let Scott tackle the second half. First of all, yes, we continue to look at a range of projects for the Infrastructure segment. We are in heavy due diligence right now on a couple of projects. So we'll see where that turns, but again we're in heavy due diligence, kind of final stages of due diligence on a couple of projects right now. We do see continued opportunity there, and we're being incredibly selective because we can be. I mean, we're only going to pick what we think are the absolute cream of the crop. Right now, without any additional infrastructure investments, I expect some more to come, but without any Scott, we would be a partial tax cash payer. [indiscernible] next year.
Scott Lauber: Yes, so in 2020 and then anything additional would help us continue to take advantage of our cash position at the end of 2020 and 2021.
Shahriar Pourreza: Got it. And it seems like you guys are filling up this bucket, the $1.1 billion that's in your sort of your plan, somewhat ahead of schedule. Is that something you look to update at EEI?
Gale Klappa: Well, we always update at EEI. We will have a whole refresh of our five-year capital plan – spinning out another year, it will probably introduce that on our earnings call next time and then go into great detail with you and everyone else who is interested at the EEI session.
Shahriar Pourreza: Got it. And Gale, just I know, I probably ask you this on a weekly basis, but is there a point in time with the Foxconn project that you could, sort of given assessment on sort of the rooftop solar opportunities and just remind us if you do announce a rooftop solar project on Foxconn, is that incremental to sort of your plan?
Gale Klappa: Well to answer the first part of your question, obviously, in the first quarter, Foxconn substantially reworked their Phase 1 development. Based on and they are going full bore now on Phase 1 construction. Kevin was telling me, he drove by there yesterday, and I mean it's, the construction is rocking on the Foxconn campus right now. So even though they've redone Phase 1 with the addition of a data center, which was not in their original Phase 1 plan, we don't see at the moment a lot of change in demand from Foxconn for Phase 1. So now that they are putting all the final designs in place for Phase 1, letting construction projects and letting construction contracts, we will be in a lot better position to talk with them about how we're going to meet their energy need. I think solar is still a possibility and we'll see where we go, but they really have not been in a position as they've redesigned Phase 1 to really talk about that kind of detail at this stage of the game. So our plan really didn't really identify specific solar project for Foxconn. So we would just see how – we'll see how all that shapes out. But I would expect by the end of this year, we'll have a much better feel for exactly how we're going to serve their need and I expect the Phase 1 needs still to be very significant [Audio Gap].
Shahriar Pourreza: …in the quarter. Very helpful. Congrats again, guys.
Gale Klappa: Thank you very much Shar.
Operator: Your next question comes from Julien Dumoulin with Bank of America. Your line is open.
Julien Dumoulin: Hey, good afternoon.
Gale Klappa: How are you, Julien?
Julien Dumoulin: Excellent. Well, I'm just going to pick it up where Shar left it off a little bit, but on the infrastructure side of the equation and admittedly this little bit of a blend. When you think about the gas storage opportunity, I believe the first go around in Bluewater was about a third of your overall needs. How do you think about owning relative to just procuring relative to your total needs on storage? What are the frameworks, the metrics that you might think about in that debate, if you will? And then I've got a follow-up.
Gale Klappa: Okay. Sure. Well, first of all, we would very much like from a strategy standpoint to own more storage. Again, they take volatility out for our retail customers. These would strictly be storage for our retail gas customers. And Bluewater is a great example. Bluewater is actually delivering better customer savings than we even thought it would. So certainly we would be interested in procuring more gas storage, but it has to be gas storage that fits our need, it has to be gas storage that on which we can earn a predictable reasonable rate of return. But again overall, we would like to own more gas storage. We'd love to get up to 65% or 70% of our expected retail customer peak demand to be able to be supplied out of storage, but slower she goes and we continue to look at various opportunities. But right now the nearest term opportunities for us in that Infrastructure segment have really been in wind.
Julien Dumoulin: Absolutely, understood. And then perhaps related, if you can, I suppose there was a lot of conversation about the impact of last winter's extreme weather and low cold conditions. We saw recently out of Michigan some draft commentary. As a follow-up to last winter and certainly related to the gas storage conversation, what's the debate and conversation in Wisconsin both within your company and at the PSC?
Gale Klappa: Well, a couple of things. First of all, I would say no debate at the PSC, and there is a reason for that. We came through the polar vortex event at the end of January. I mean it was tight, but we came through that event with incredible reliability for our customers. And Kevin and I are both very proud of that. That didn't happen in every Midwestern state. So the Commission asked for report every utility in Wisconsin on their performance during the polar vortex, and we got nothing but praise as I think we should have for the reliability that we delivered. However, whenever you have an event like that that distresses your system to the max. It shows you where weak points are and where you need additional capacity. One of the things I think Kevin will see as we update our five-year plan is the network particularly, our gas distribution network, particularly in the southeastern part of between Milwaukee and the State Line need some reinforcement.
Kevin Fletcher: You said exactly correct, Gale. As you look at Foxconn, all the developments that we've talked about from an economic development perspective, and that's part of the state. We had already identified the need for additional gas capacity there. But with the polar vortex it showed us that the need that we had identified was certainly one that's something that we need to address very quickly, and we do have proposals before the Commission now for us to strengthen that particular gas infrastructure.
Gale Klappa: And that's really important. I mean, if you think about Julien, the life and death situation of a day where it's minus 26 Fahrenheit with a minus 50 windchill this isn't something to fool around with. And I think one of the things I'm very pleased about is our Wisconsin Commission has always understood the need for reliability and they've always been very supportive of the kind of extensions and expansions that we show, we really need.
Julien Dumoulin: To clarify that's just an acceleration of just your capital budget, and timing of getting the things?
Gale Klappa: Well, we have identified a potential need, five, six, seven, eight years down the road, it's here.
Julien Dumoulin: Okay. Excellent.
Gale Klappa: Very good. Thank you, Julien.
Julien Dumoulin: Thank you, guys. Cheers.
Operator: Your next question comes from Michael Weinstein with Credit Suisse. Your line is open.
Gale Klappa: Hey, Michael. How are you today?
Michael Weinstein: I'm doing great. Hey Kevin, I'm just curious when you guys, when you were taking a look at Foxconn, are they still planning a glass facility with Corning that would draw significant gas demand? Is that still part of the plan there?
Kevin Fletcher: That is not currently a part of their revised plan to my knowledge.
Gale Klappa: I think Kevin is correct. That is not – part of the reason for that is their original plan have the Gen10.6 LCD fabrication plant, which produces very large-sized panels, glass panels and that would require an organization like Corning to be on-site. With the Gen 6 plant, the one that they're now building and construction is underway as we mentioned, produces much smaller panels for a range of industries but much smaller in size and doesn't require an on-site plant like Corning would deliver.
Michael Weinstein: Got you. And separately, Scott In terms of infrastructure investments are you planning at some point to get into more some solar investments on that side of it? I mean, especially with the Safe Harbor window that will close at the end of the year, you might have to get some inventory in place at this point.
Scott Lauber: Yes. When we look at the infrastructure investments right now, the ones that are readily available that we are looking at is in the wind side of the business. Not that we would look at solar, but the opportunities we're seeing is more in the wind. And the solar that we talked about in the call, that's all in the utility, and we are working to get all the tax benefits there.
Gale Klappa: Mike, it’s Gale. I'm sorry, to echo Scott's point, right now, the economy, we've looked at solar. In fact, we looked at the big solar opportunity six months ago or something like that for the infrastructure bucket. But when we compared the economics that project would have been available to us. When we looked at the economics, the wind projects that we're looking at for the Infrastructure segment actually had more enhanced returns.
Michael Weinstein: Okay. Even with the Safe Harbor tax credit.
Gale Klappa: Even with the Safe Harbor tax credit.
Michael Weinstein: Got you. And one last question. Are you, I guess in terms of being on track for carbon reduction and de-carbonization over the long haul, just confirm that the PTC, Power the Future Plans if they can continue to operate over a long period of time without and you can still achieve your goals. I just want to make sure that that's true.
Gale Klappa: Yes. In fact, just to put some numbers around it. Our original goal was a 40% reduction in CO2 by 2030. We've made tremendous progress and internally, Kevin and I think we're going to hit that goal by maybe 2023.
Kevin Fletcher: That's correct.
Gale Klappa: So we're ahead of target on the initial goal and then the longer-term goal is an 80% reduction by 2050. And we have a roadmap that's going to require some technology improvement to get to 80% by 2050, but we think we know how to do that and it would remain – and the Power the Future Plans remain operational.
Michael Weinstein: Got it. All right. Thank you.
Operator: Your next question comes from Michael Lapides with Goldman Sachs. Your line is open.
Michael Lapides: Hey guys.
Gale Klappa: Hi, Michael. How are you doing?
Michael Lapides: I'm okay, Gale. Thank you as always for taking my question and congrats on a great quarter and start to the year, first half of the year.
Gale Klappa: Thank you, sir.
Michael Lapides: I have two questions for you guys. One, the cost savings that have been a big driver so far of year-to-date performance, how should we think about the read through that has for 2020 and beyond? And especially since a lot of that is for the coal plant retirements. That's my first question. My second one is an easy one, if I look at your CapEx plan in the July slide deck and I thought it was like page 31 or page 32 it showed by function, and by geography. It always tends to show a roll down starting in 2021 in the Wisconsin and Illinois distribution CapEx. And just curious, do you really see CapEx starting to come down that dramatically in kind of 2021, 2022 and 2023? Or is it simply because you just don't have line of sight of what the specific projects might be this far out to be able to kind of forecast out that far?
Gale Klappa: I'll handle your – if you don't mind your second question first. And that's the traditional roll down that we see in years four and five or three, four and five in our five-year capital plan. And really I think the easiest, most honest answer to that is, we don't believe in giving you a five-year plan with a lot of white space in it. And clearly, our plans can change, demand can change, lots of stuff can change three, four and five years out. So we tend to show you in our five-year plan only what we really, really have mailed in terms of what we think is going to have to happen, particularly in the regulated side of the business over that five-year period. So I wouldn't put too much stock into the roll down. If you look back over the last – I guess I've been around here about 16 years. Scott's been here longer. If you look back at our five-year plans for over all those years, you'll probably see very much the same cadence. So I wouldn't put too much stock in that. Let me say this. We continue to project 5% to 7% earnings per share growth for the longer-term. And we believe we have a long runway of capital projects that will support that earnings growth.
Michael Lapides: Got it. And that first question about – yes, the O&M benefits due to the coal plant retirements. I guess I'm going to break this in to two questions. How much of the O&M savings have the coal plant retirements been for this year? And how should we think about whether that impacts 2020 and beyond in terms of your earnings power?
Gale Klappa: All right. Let me give you two specific responses to that. First of all, our estimate of annual cost savings associated with the retirement of those three plants is approximately $100 million on an annual basis. I don't think we have in the room here the specific number for the savings for Q2, but we are on target to achieve – on an annual basis, the $100 million worth of savings. And then secondly, think about it this way, our operational day-to-day O&M starting this year, system-wide, it was about $1,234 billion and I thank Scott for giving me one, two, three, four. We said at the beginning of the year that we thought our O&M could come in 3% to 4%, that was our goal, 3% to 4% below that $1,234 billion for 2019. And Scott, how we are doing?
Scott Lauber: We are right on target with that. So we are through the second quarter, I mean the first quarter is a little bit higher O&M, the second quarter is a little lower, but we're right on pace to get that 3% to 4% out and all these plant closings are factored into our Wisconsin rate filings, which is part of the reason we were able to sale for so many years.
Michael Lapides: Got it. And then when you guys think about 2020 and beyond, how should we – like will you give guidance based off of the original 2019 midpoint? Will you give guidance based off of whatever the higher 2019 guidance level, you just provided on today's call? I'm just trying to think about what the baseline is going to be?
Gale Klappa: For earnings growth projection, Michael?
Michael Lapides: Yes. And I'm just thinking about the starting point, not necessarily the range or the ending point.
Gale Klappa: Well, our historical approach has been to give you a new earnings per share range, so say in the beginning of 2020, we'll tell you what we think our earnings guidance is going to be in a pretty tight range for 2020 and then we will let you – we will show you what that is off 2019 earnings, but also will show you a growth rate of the midpoint of our original 2019 guidance.
Michael Lapides: Got it, okay. I appreciate it guys. Thank you much. Thank you very much, Gale.
Gale Klappa: You're welcome, Michael. Take care.
Michael Lapides: Okay.
Operator: Your next question comes from Praful Mehta with Citigroup. Your line is open.
Praful Mehta: Thank you so much. Hi, guys.
Gale Klappa: Hello, Praful. How are you, sir?
Praful Mehta: Very good. Hi. So maybe on the Page 13 of the release package where you have the volume and load growth because when we look at that, I know you mentioned a little bit in your initial remarks as well. It seems like load growth was pretty low even when you look at normalized for weather? So I just wanted to understand what specifically about the weather makes you feel that the normalization process wasn't complete? And then secondly, how confident are you about load growth by the end of the year given Q1, Q2 performance?
Gale Klappa: We're chuckling because you probably heard me say this a gazillion times. I will say it again. The weather normalization techniques that are available to our industry are simply flawed. They're just not that accurate. And Scott mentioned during his prepared remarks, a huge – I mean a dramatic swing between in weather conditions, between Q2 of this year and Q2 of a year-ago. Scott, you just might want to repeat a couple of those stats.
Scott Lauber: Yes. So we are looking at for the month of June, it was the 10th coolest this last June in the last 70 years, and then 60% cooler compared to normal in the quarter. And the other thing that made it really challenging in Wisconsin here, it was extremely wet. So whenever you had a day that would get even above normal temperatures, it was cool. But even if you had a normal temperature, the next day you would expect the load to be there. It would rain and actually cool everything off. So it's really hard to normalize when you have intermediate rains during the month and I think this is one of the wettest Junes we had on record. So that made it very challenging, but we are very happy when you still look at our customer growth. We're seeing about 0.7% growth in new customers or overall customer count year-over-year and both the gas a little bit higher in the electric and a little bit higher on the gas, so still seeing a good customer growth come through.
Gale Klappa: In fact to Scott's point, our customer growth, both on the electric and gas side of our businesses, it's actually a bit stronger in the first half of this year than it was even in the first half of last year. One other thought and actually Kevin and Scott and I were talking about this earlier today. When you look at particularly weather normalization for gas delivery, Q2 is just problematic to begin with because the volumes of gas deliveries are generally so low given that it's spring time and there's not a lot of heat required. I think we have to be very careful about putting too much stock in one quarter's weather normalization. Now longer-term and you asked a very good question. Longer-term, we have projected a bit of an uptick, particularly in electric demand in the 2021, 2022 timeframe and we're still quite confident of that because of all of these economic development projects that I mentioned earlier and more that I didn't have a chance to mention. I mean we have a very robust pipeline of industrial economic development and expansion projects that are coming on stream largely Scott in that 2021, 2022 timeframe.
Scott Lauber: Yes, exactly right, Gale. And we just took a look at it as we are preparing specifically in those outer years and just coming on our hands, we found about 14 projects that were significant size that's going to get us to the growth we projected when we were at EEI last fall. So we'll be continuing to review our forecast but feel very good where we're at.
Gale Klappa: Amazon is going to use even more robots in their brand new facility and that requires more electricity, Praful.
Praful Mehta: Well that's great and great to hear the confidence on that. So I guess the second question was more on your rate review – the ongoing rate review. In terms of the – I guess, you mentioned that you have a request for a higher equity ratio apart from other factors that you've kind of talked about. Could you give us a sense for where that equity ratio is in terms of the ask versus what's currently in the plan, just so when we see the outcome we can compare against what you kind of had forecast in your plan as well?
Scott Lauber: Yes. So what we looked at the equity ratio on – and it's a little bit different at all the companies, but basically the equity ratio was about it. Wisconsin, our We Energies is the largest subsidiary at 51% and we're moving that in the rate case to 52%, which when you look at our numbers and the effects of tax reform, it really, really helps with the cash flow and the benefits there. When we looked at our – in our guidance, we assuming what our current rates are, we will put our long five year plan together at the 51 an attempt to Wisconsin Electric and there's a lot of stuff that will go through the rate case, but we really looked at that 52% is not only more beneficial actually to the cash flow and the benefits we've been taking all the credit ratings at the utilities.
Gale Klappa: And 52% equity ratio is very consistent with the last decision made for a major Wisconsin utility by the Wisconsin Commission, so nothing out of the ordinary here.
Praful Mehta: Gotcha. So just to be clear, if you did get 52% that would be accretive to the current forecast of your growth?
Gale Klappa: I don't think you can look at that in isolation. You've got to look at that – you've got to look at the revenue decision. You've got to look at the return on equity. So it's like Ragu, it's all in there. So I wouldn't try to isolate that and come to just that one item and come to a conclusion, Scott.
Scott Lauber: No, I agree. There's a lot of factors. We always look at it with ROE and equity percentage in combination. So we get through the rate case that then we'll look at where we are by most likely, the first quarter of next year for our guidance.
Gale Klappa: And I stand correctly, this is no Ragu, it's Prego. It is like Prego, isn't there?
Praful Mehta: All right. Well, I really appreciate it. Thank you, guys.
Gale Klappa: You're welcome. Thank you. Vedula?
Operator: Your final question comes from the line of Vedula Murti with Avon Capital. Your line is open.
Vedula Murti: Good afternoon.
Gale Klappa: Hi Vedula, how you doing?
Vedula Murti: I am doing okay.
Gale Klappa: Wait a minute. Not wonderful on award winning, Vedula?
Vedula Murti: Okay, fine wonderful on award winning. Okay. Couple of things, you mentioned about the tax rate and that you expect it to be 10% to 11% of balance of the rest of this year. Should we be thinking for the forward years 2020 and 2021 that with the some of the projects you have in the pipeline and whatever that the effective tax rate would be in a similar zone?
Scott Lauber: No, I think when you look at the effective tax rate, you have to take out the tax repairs, and put it closer to that 20% and 21%. Tax repairs are really unique for our Company in 2018 and 2019. So we haven't come out with the range and the production tax credits will of course – will help us, but that 20% to 21% is a good reasonable number.
Vedula Murti: Okay. And then I guess within say, your $3.53 upper end for this year, how should I think about what the earnings contribution tax credits are from here from wind production on other types of things as part of that aggregate?
Gale Klappa: Vedula, we're expecting in terms of the impact of the tax credits from our infrastructure investments. We're expecting about $0.02 a quarter of earnings. And that's exactly what we delivered this quarter.
Vedula Murti: Okay. So in terms of the forecast going forward on the 5% to 7%, tax rates kind of normalize back towards the 20% area versus the 10% this year. That clearly is already accounted for in terms of that lack of better term headwind, which will be filled in through other investments and rate recoveries et cetera?
Scott Lauber: It is accounted for – in our growth projections, but it all gets some reset in this rate case here, because it's really a unique Wisconsin item that kept reduce that transmission balance to zero now by the end of the year. So those unique tax repair items will all get we said in this rate case to get back to that 20% to 21%.
Vedula Murti: Okay.
Gale Klappa: And again, because the use of the tax repairs during this year is to get that transmission escrow balance down to zero. Once it's down to zero, and as Scott said it gets reset or rates that are effective January 2020.
Vedula Murti: All right, thank you very much.
Gale Klappa: You're welcome.
Gale Klappa: All right. Ladies and gentlemen, that concludes our conference call for today. Thanks so much for participating. It's always good to be with you. If you have any other questions, feel free to contact Beth Straka, her direct line 414-221-4639. So long everybody.
Operator: This concludes today's conference call. You may now disconnect.